Operator: Good day ladies and gentlemen. Welcome to the VOXX International conference call. At this time, all participants are in a listen-only mode. Later we will conduct a question and answer session, and instructions will be given at that time. If anyone should require operator assistance, please press star then zero on your touchtone telephone. As a reminder, this conference call is being recorded. I would now like to introduce your host for today’s conference, Mr. Glenn Wiener. Please go ahead, sir.
Glenn Wiener: Thank you, Ashley, and good morning everyone. I’d like to start by wishing you all a happy new year. Welcome to Voxx International’s fiscal 2015 third quarter and nine months results conference call. Today’s call is being webcast from our website, www.voxxintl.com. It can be accessed on the Investor Relations section of this site. We also have a replay available for those who are unable to join us this morning, which should be up within the next hour. We filed our Form 10-Q and issued our press release yesterday after the market closed, and both documents can be found on our website, again in the Investor Relations section under SEC filings and News Releases, respectively. This morning we also issued a press announcement regarding our presentation at the Needham conference next week, and we have several events scheduled throughout the course of the year. Before turning the call over to Pat, I’d like to remind everyone that except for historical information contained herein, statements made on today’s call and webcast that would constitute forward-looking statements may include certain risks and uncertainties. The company assumes no responsibility to update any such forward-looking statements, and risk factors associated with our business are detailed in our Form 10-K for fiscal year ended February 28, 2014. The forward-looking statements are based on currently available information. At this time, I’d like to turn the call over to our President and CEO, Pat Lavelle. Pat?
Patrick Lavelle: Okay, thank you, Glenn. Good morning everyone. As you may know, today is the last day of the consumer electronics show in Las Vegas and we had very positive response to the products we debuted this year and the ones that we will be introducing shortly. These products, as well as programs under development, have us optimistic with our potential over the coming year. Yesterday we reported our fiscal third quarter results. While sales came in lower than expected, our gross margins increased as anticipated and we continued to manage our costs, resulting in operating profit that was slightly ahead of last year’s third quarter. As many of you have probably seen from holiday reports, industry sales were better this year, and I think better than some retailers had planned, and this bodes well in our outlook for next year as the economy and the consumer spending appear to be moving in the right direction. However, in years past we’ve seen a very tepid retail environment, and as a result took a cautious approach in our buying programs which will curtail some fourth quarter sales. I’ll begin today with a brief recap of our results and then discuss our outlook for the remainder of the year, as well as some of the new products and programs we have on tap. As I indicated on our second quarter call, sales will be down from last year due to weakness that we had seen in pre-holiday consumer spending, delays in product launches, and a temporary suspension of OE programs that have impacted this year. Based upon this, projected sales for fiscal ’15 are now set at approximately $760 million to $770 million. However, we are increasing gross profit guidance to approximately 30% and overhead will be up close to 2%, down from the 4 to 5 I initially guided to. Let me start with our results. Our third quarter sales declined $22.5 million over last year. The majority of the declines were in our premium audio segment and in our OEM lines, and I will address both. The premium audio third quarter sales were off a little over $11 million but our gross margins increased 290 basis points. As I indicated on our last call, the margin improvement was anticipated as we delivered our new Klipsch Reference Series and Jamo Concert Series speakers. For the nine months, sales were down $18 million and gross margins, while down slightly for the nine months, will be flat with last year. Throughout the year, our premium audio segment has been impacted as we transition to make way for new product launches. Lower industry-wide pricing for sound bars, music centers, and Bluetooth speakers are also impacting sales. According to MPG Reports, average selling prices have dropped by 46% and 44% for sound bars and wireless [indiscernible] products respectively. This has led us to concentrate on growing our high-end separates business and the commercial and custom installation businesses, where margins are more stable. Also impacting sales was the launch of our Klipsch music centers in the third quarter last year, which spiked sales of those products as we filled the pipeline. This year, Q3 sales of those items followed more normal purchasing patterns. Finally, we transitioned to UBP pricing to protect our margins and pulled several Klipsch products from a number of online outlets. All of these factors contributed to lower sales this quarter; however, we are not overly concerned as we believe the steps we took in recent months and the new products that are delivering have us positioned well at both retail and online. Our custom installation channel has improved this year, driven by our high-end Reference [indiscernible] of speakers. This product category represents an area of additional growth for us. In commercial installation, we’re up for the year, maintaining our accounts and looking to expand further in the coming years as our customers have retrofits of existing theaters and new construction in the planning stages. Within automotive, sales were off $7.3 million and $13.1 million for the three and nine months. There were three primary reasons for this. I’ve previously talked about two issues on the OEM level: one, the revised safety requirements at one of our OEMs which delayed the launch of a program that was slated to begin earlier this year, and the second, the retrofit of an existing program that resumed production in November. These combined to impact our business over the nine months by approximately $9 million. Second, last year we enjoyed a huge launch with an OEM customer for Rear Seat Entertainment products. The program is running and doing well, but the year-over-year impact when comparing sales during launch to normal run rate is approximately $3.3 million. Third, as we indicated last quarter, we have essentially stopped doing business in Venezuela and the year-over-year impact of that has been approximately $3 million. In addition, the euro impact for the third quarter was significant as in Q3 fiscal ’14, the euro was at 1.35 versus 1.27 this quarter. The lower euro has impacted Q3 sales by approximately $3.2 million in this segment. These factors actually contributed to more than the year-over-year decline, about $18 million in total, and masked some of the positives. A few positive takeaways - we initially budgeted Hirschmann sales to be down driven by the transition of our DVB-T tuner to the next-generation model, but we’ve had better sales of existing products and higher call offs, which have helped offset this. Our antenna business is growing and we expect this to continue especially as more and more cares incorporate wireless 3G and 4G technologies. We’ve won new programs with Audi and Volkswagen, have other programs underway, and have several large RFQs pending. Our Roadstar business is doing well, up slightly for the year, and in Rear Seat Entertainment we began a program with a new OEM customer during the third quarter. One other point is the positive improvement in our gross margins, up 270 and 290 basis points for the three and nine month comparisons. We’re experiencing substantially better absorption in our manufacturing facilities and we’ve also had gains due to product mix. With some new programs coming on board this year, margins have also been favorably impacted, although as programs mature, they will come down. This is standard with OEMs and built into our contracts. New technologies we’re working on should help offset this as it does in virtually every product cycle. In our consumer accessories segment, our sales were down $4 million in the third quarter and $3.6 million for the nine months. Up until the holiday season, we saw softness at retail, and as I mentioned in my opening remarks, we were very cautious in our buying programs for the third quarter. Sales of 808 Audio, which we launched last year, are doing very well, placed in Wal-Mart, Office Depot, Meier, PC Richard, Fry’s, Target.com and Amazon.com, and in the premium incentive channel and numerous college bookstores. Reception products are also up for the year due mostly to the expanded distribution, and we have a number of new products coming to market for next fiscal year. Our European accessories sales are up 21% on a euro basis. Moving on, on a consolidated basis our third quarter gross margins improved 290 basis points, mainly due to the transition of product mix and new product launches. Margins for the year are now at 29.7%, 70 basis points over guidance. Our expenses were roughly flat, up about 1% and well under budget, so despite lower sales we were able to post a modest gain in operating income for the quarter. Mike will get into the other financial details. I have focused on ones that have been driving our sales and margins throughout the year. Looking ahead, we resumed OEM shipments that had been on hold, and we believe there will be positive improvements based on new programs that have recently started. The new Reference Series is loaded in at several retailers, including Best Buy, but nationwide rollout will take time. The products are meeting with positive consumer response and we expect to start see restocking orders very soon. We had a planned limited launch of myris, the iris identification product late in the third quarter at Best Buy, Staples, hhgregg, Fry’s Electronics, Tiger Direct, and online at Apple.com. We’ve received some fantastic product reviews upon launch and myris was included in a year-end Wall Street Journal report as one of the technologies that will change your life forever. As demand grows, we expect to increase production throughout fiscal ’16. While retail is a key component to consumer awareness, we believe the big play is in the enterprise market and that will be a multi-year strategy. We anticipate seeing our first enterprise models early this spring. Despite the lower top line outlook, gross margins are improving, tracking to 30%, and overhead will only be up about 2%. While I truly believe we are on track for modest growth this year, we had a number of unforeseen events and delays that have impacted sales. We’re addressing them all and we’re improving the areas that are within our control. Before I turn the call over to Mike, I’d like to say we had a very good show at CES. You can look at all of our product releases on our website. I won’t go through each one. We have a number of opportunities - our new Reference Series, new Jamo Series, Singtrix, new OEM programs, our asset tracking technology, new Rear Seat Entertainment products, 360fly, myris, new 808 audio products, and more. With the U.S. economy improving and Europe holding steady, we see potential for growth across all of our business segments. Cash is being strategically deployed. We’re profitable and generating cash flow, and our balance sheet continues to improve. I’ll turn the call over to Michael now, and when he is through we will open it up for questions. Michael?
Michael Stoehr: Thanks Pat. Good morning everyone. We’ve already provided sales and margin details, so I’ll cover expenses, income, EBITDA, and our balance sheet. All comparisons are for the three and nine months ended November 30, 2014 and 2013 unless noted. First, our operating expenses. Operating expenses for the comparable third quarters were flat, $53.2 million versus $52.2 million. Selling expenses declined by $1.4 million or 9.3% due mostly to lower commissions and salaries and the increase of trade show expenses was more than offset by our lower advertising spend as some program launches shifted into fiscal year ’16. G&A expenses declined by $1.8 million or 5.8% due primarily to the cost controls we put in place. Executive management salaries and related benefits, lower taxes and licenses, and lower insurance and professional fees helped reduce G&A, and this was offset somewhat by higher office hours and related office expenses. Our engineering and technical support expenses increased by $3.4 million, up 58.6%. We’ve been staffing up primarily in engineering to support our automotive business. Our R&D spend is up approximately $2.3 million. The increase in our spend relates to investments in programs we are working on as we are finishing our product development related to programs slated to begin at the end of this calendar year and into next year. For the nine month comparisons, operating expenses were up $1.9 million or 1.2%. Selling expenses increased $500,000. Commissions declined due to lower sales volumes, and payroll benefits were down as well as [indiscernible]. This was offset by higher salesmen’s salaries in our automotive group as we are staffing for business growth, higher payroll taxes and an increase in both advertising and trade show expenses associated with new product launches in our premium audio and consumer accessory segments. G&A expenses declined $1.1 million. Similar to the three-month comparisons, executive management salaries and related payroll benefits decreased, as did insurance costs, offset by higher office salaries, [indiscernible] payroll taxes, and professional service fees. Occupancy costs also increased in the nine month period, and this was primarily in our automotive group. This was offset by lower stock option expenses. Engineering and technical support increased $3.9 million to support new OEM programs, as I just noted, and in fiscal year ’14 we incurred $1.3 million in restructuring expenses related to our building and systems consolidation. As Pat indicated, fiscal year ’15 expenses are now expected to be up only approximately 2% year-over-year as compared to the 4% to 5% we initially projected and the 3 to 3.5 we guided to last quarter. Operating income for the three months was $16.6 million for both periods. We were able to post operating income that matched last year due to the improvements in gross margins, which helped offset lower sales volumes. Note that though the first six months of the year our operating income was down $5 million principally as a result of lower sales and no improvements in gross margin. For the nine months period, operating income was $17.3 million versus $22.2 million. For the three-month comparison, there was little change in interest and bank charges - $1.8 million for both periods, and equity income in our equity investees, which relates to our ASA joint venture, was $1.2 million versus $1.5 million. As we mentioned in our previous call, we will not repeat the other income from special situations which we had last year. Other net was $5.3 million in last year’s fiscal third quarter and includes $4.3 million for unanticipated customer settlements, the recovery of $900,000 that was Klipsch and other miscellaneous factors versus $142,000 in fiscal ’15 third quarter. For the nine month comparisons, we reported total other expenses of $5.2 million versus other income of $10.5 million, a $15.7 million swing. Minor impacts stemmed from interest and bank charges which declined by $600,000 as we continue to pay down debt, and equity income investees was $4.6 million versus $4.8 million. The biggest impacts came in other net. In fiscal year ’15, the largest shift was the $6.7 million loss which represents the re-measurement of our Venezuelan bonds as of August 31, 2014, and in other net in last year’s fiscal nine-month period included net income of $9.2 million which was a result of unanticipated settlements of class action lawsuit settlements, which recoveries offset by accrual for estimated tax benefit. For both the three-month and nine-month period, net income was favorably impacted by higher gross margins and tax recoveries, offset by lower other income and expenses and sales volume. As a result, we reported net income of $15.6 million versus $15.4 million, and net income per diluted share of $0.64 versus $0.63 when comparing fiscal ’15 and ’14 third quarters. For the nine month period comparison, net income was $13.4 million or $0.55 per diluted share versus $22.4 million or $0.93 per diluted share. As for EBITDA, we reported EBITDA for fiscal year ’15 third quarter of $22.2 million versus $27.7 million. Adjusted EBITDA for fiscal ’15 third quarter was $22.4 million versus $23.5 million last year, which included the unanticipated customer settlement of $4.3 million and minor adjustments related to stock-based compensation. For the nine-month period, EBITDA was $29.3 million in fiscal year ’15 versus $50.3 million in fiscal year ’14, and adjusted EBITDA for the nine months fiscal ’15 was $36.3 million versus $42.7 million last year. Fiscal ’15 takes into account the $6.7 million loss due to the Venezuelan re-measurements and approximately $300,000 in stock-based compensation. The adjustments for [indiscernible] in 2014 included an unanticipated customer settlement, legal settlements, and recoveries, relocation and restructuring charges and stock-based compensation. Now for our balance sheet. Our cash position as of November 30, 2014 was $11.1 million versus $10.6 million as of February 28, 2014. We continue to manage our inventory position and as of November 30, 2014, our inventory was $153 million versus $160.9 million as of November 30, 2013, and $144.3 million as of February 28, 204. Our total debt as of November 30, 2014, which is inclusive of all mortgages and capital leases, stood at $102.8 million compared to $115.3 million as of February 28, 2014, an improvement of $12.5 million, as compared also to $140.9 million as of November 30, 2013, a year-over-year improvement of $38.1 million. The 11/30/15 total debt includes funds used for investments of $6 million in Eyewalk [ph] and Eyesee360 as well as $2.6 million in stock repurchases. Our domestic bank obligations were $76.6 million as of November 30, 2014. This compares to $88 million as of February 28 and $115.3 million as of November 30, 2013. Our debt position tends to come down after our third quarter, which is our busiest selling season, and we expect to end the fiscal year with total worldwide bank obligations of approximately $65 million to $70 million and total debt of $91 million. In closing and to reiterate Pat’s comments: one, yes, our sales for the year will be lower than expected, and Pat covered the reasons why. Our margins, which we guided to 29% or 29.7% through the nine months and should come closer to the 30% which is our stated threshold. Our overhead will be up approximately 2% or less this year and will be driven by increases in R&D and engineering and our automotive groups, which is positive for our future business though it takes away from profitability this year. EBITDA adjusted in Venezuela, which is not a cash item, should come in at approximately $42 million. Our capex estimate, previously $12 million to $13 million, does not include the now-planned $4.5 million investment for our new facility project in our automotive group, which we’ll be announcing shortly. Taking this into account, our free cash flow for fiscal year ’15 will now be $17.5 million. During the third quarter, we repurchased approximately 315,000 shares of our common stock on the open market and currently have over 1.4 million shares remaining under the authorization program. Our balance sheet is improving and we have sufficient availability to execute our strategy and continue to make acquisitions, should the right ones materialize at the right value. This concludes our prepared remarks, and we’re ready to open up the call to questions. Pat?
Patrick Lavelle: Thank you, Mike; and Operator, we’re ready for Q&A.
Operator: [Operator instructions] Our first question comes from Sean McGowan of Needham. Your line is open.
Sean McGowan: Hey guys, how are you?
Patrick Lavelle: Hi Sean.
Sean McGowan: Thanks. A couple of questions. Pat, how quickly do you think some of these suspended OEM programs can bounce back, specifically if they are safety-related? Is that a multi-quarter issue, or can that come back pretty soon?
Patrick Lavelle: No, the safety issue has been resolved, and we will be resuming--actually, we started in November resuming the two programs, because the decision was to go back to the--the unit that had the safety issue, the decision was to go back to the former model we were supplying them, so that and then the one that we had to redo some functionality on, both resumed in November. So we’ll see--that $9 million that we missed during this period should start to resume--it started up again in November, and we should start to see those sales on a regular monthly basis.
Sean McGowan: Okay, and that $9 million was for the nine months?
Patrick Lavelle: That was the nine months, yes. It’s about a million a month.
Sean McGowan: Okay. A couple of questions for Mike. What would you say is the gross margin outlook for the fourth quarter? You had a bit of pressure last year in the fourth quarter. I think a lot of that was related to factors that don’t sound like they’re repeating this year with excess inventories at retail, so do you expect to be back to the fourth quarter of ’13 levels, or maybe higher?
Michael Stoehr: We will be at the 30% level that we talked about.
Sean McGowan: Okay. And then last question - the tax benefit, there seems to be a pretty significant tax benefit in the quarter. Can you quantify it, and was it in line with what you expected?
Michael Stoehr: Yes. If you look at the footnotes and the subsequent events in the second quarter, we were at the time going through a review with the IRS on positions we took on foreign tax credits and R&D credits. We were successful and we had charged the company’s taxes $6.8 million, and that was reversed in the third quarter.
Sean McGowan: Okay, so it was 6.8 - okay. All right, thank you.
Michael Stoehr: It’s in the taxes you’ll see it.
Sean McGowan: Thank you.
Operator: Thank you. Our next question comes from James Medvedeff of Cowen & Company. Your line is open.
James Medvedeff: Thanks. Good morning, guys, how are you?
Patrick Lavelle: Doing fine, James.
James Medvedeff: Okay, a couple questions here. Looking forward into near-term stuff, how should we think about growth rates in the three segments for the fourth quarter?
Patrick Lavelle: Well, when we look for the fourth quarter, I think you’ll see--we’re looking down for the fourth quarter within the accessory group due to some delayed programs that were supposed to fall into the fourth quarter that will now fall into the first quarter of next year. We do have one of our retailers has an inventory situation that will not affect us, but some of the orders that we had slated for the fourth quarter will also move into the first quarter as they move through the inventory. They’re coming up on their year-end, they’re a little heavy, so they’re holding up on some orders, so we’re anticipating a little bit down in our accessory business. The OEM business, some of the calloffs, some of the closed facilities in the time frame will impact us, but that could be offset by the increase that we see with the resumed programs; and then within our premium space, we’re thinking that we’re going to be close with where we were last year, and that’s looking at the fourth quarter. Our operations in Mexico will be down as we transition out of our own facility and into distribution there, but I think that is a better situation for the long haul for us. And then we have a smattering of other smaller issues that may or may not affect sales in the fourth quarter as to whether or not product will be delivered before Chinese New Year and things like that.
James Medvedeff: Great, thank you. On expenses, also again thinking short-term, you’re guiding now to 2% or less growth in total expenses. Does that--how should I take that? Should we see similar levels to the Q3 or more similar levels to year-over-year?
Patrick Lavelle: It’s going to be--I would say we’re projecting 2% for the year. We’ll probably be a little bit up over Q3, but not by much.
James Medvedeff: Okay, thanks. Then finally on the share repurchase--or I’m sorry, on the balance sheet, so $91 million of debt a quarter from now would imply sort of--can you say where that’s coming out of? It’s about $18 million lower--no, I’m sorry. It’s about $11 million lower, and is that coming out of the--are you paying down something specific?
Michael Stoehr: That will be reduced on the bank lines as the working capital needs begin to contract in the fourth quarter.
James Medvedeff: So I’m showing short-term debt and current portion is only $2 million in the quarter, at the end of the quarter.
Michael Stoehr: On November 30, yes.
James Medvedeff: So the bank lines are reported as long-term debt, apparently?
Michael Stoehr: Yes, they are. It’s [indiscernible].
James Medvedeff: Okay, great. I guess that’s it for me. I’ll get back in the queue. Thank you.
Patrick Lavelle: Okay, James. Thank you.
Operator: Thank you. Our next question comes from Scott Tilghman of B. Riley. Your line is open.
Scott Tilghman: Thanks, good morning.
Patrick Lavelle: Good morning, Scott.
Scott Tilghman: First off, I just wanted to touch and make sure I heard you correctly, Mike. You said EBITDA guidance now is $42 million, down from $47 million?
Michael Stoehr: Yes.
Scott Tilghman: Okay, thank you. Then a few line item questions. On G&A, last year you talked about some of the restructuring efforts, but I thought most of those had been broken out as separate expenses. Were there any other one-time costs in the third quarter G&A a year ago?
Patrick Lavelle: No.
Scott Tilghman: Okay. And then on the engineering side, obviously you’ve been benefiting from some of the NRE the last few quarters. What are you expecting to receive in fourth quarter?
Patrick Lavelle: Well, an NRE payment is a part of the regular cycle of business that we do. We don’t--I can’t lay out exactly what it is that we’re spending, but it would be normal with each one of the quarters. We have dates that we are required to deliver on certain milestones, and based on delivering on those milestones, we are then paid the NRE. Right now, it looks as if most of the milestones that we are to achieve, we will achieve. Maybe one or two will slide into the next quarter, but as far as NRE, it will be a normal pattern that you’ve seen.
Scott Tilghman: Okay, so the $2 million this quarter, 2.5 last quarter, so somewhere in that ballpark?
Patrick Lavelle: Pretty much so.
Scott Tilghman: Okay. Advertising, you called out some of the delayed advertising expenditures. Is it possible to quantify what that will be as we head into next year?
Patrick Lavelle: Well, the advertising expenses are related to the launches of some of our new programs, okay, so as we get to the new programs, we will initiate the advertising programs and the kickoff spend and everything else for those programs. Depending upon what we introduce, yes, I could do it for you right now, but yes we could analyze those expenses and indicate what quarters they would fall into.
Scott Tilghman: That would be helpful. Last, I just wanted to back into the guidance, sort of a little back of the envelope work here. It sounds like, given the revenue guidance and the commentary around margins and expenses, that you’re looking at roughly a breakeven fourth quarter. Is that accurate?
Patrick Lavelle: We expect to do better than breakeven.
Scott Tilghman: Great, thank you.
Operator: Thank you. Our next question comes from Brian Cowen of VC Capital. Your line is open.
Brian Cowen: Hi guys, how are you? Just a quick question for clarity. You guys said $6.8 million on the tax. I know from the third quarter, or the last quarter transcript, I think the number was going to be $5.9 million, so did you guys recognize all 6.8, or maybe what was the delta between 5.9 and the 6.8 you guys recognized?
Michael Stoehr: It was the accrued interest that comes over a period of time to the taxes.
Brian Cowen: Okay, okay. Great. So really, if I back that out, it’s about $0.40. Then just another quick question - when I think about tax rate for the full year, I think you guys--you reiterate 36%?
Michael Stoehr: Right. What you’re going to have to do on your model, the $6.8 million in the Venezuelan bonds is not used for--it can’t be used for tax deductibility, so back it out when you use the effective real rate minus the $6.8 million.
Brian Cowen: Yeah, that’s what I’m getting at. Yeah okay, perfect. That answers that question. Then just finally in regards to the gross margin, I appreciate you guys getting the 10-Q out so quickly. That actually is something lots of companies don’t do, and it’s very helpful. But it leads me to this other question where it said segment experienced increasing margins due to the improved of high sales, and the other area was decrease in warranty claims and increase in vendor rebates. Could you maybe segment out what that exactly meant, how much that benefited, and I didn’t find that quote last year or in other Q’s, so I was kind of curious kind of what the benefit was and are those one-time in nature or did you change your warranty reserves? What was happening with vendors? Could you explain that? Thanks.
Patrick Lavelle: When we look at warranty, if you go back and you look at our experience over the last few years, you will see our warranty costs continuing to improve based on the quality of the product, the quality of the customer, the nature of the customer. As more and more of our business shifts over to OEM, the warranty costs will go down based on the requirements of becoming and being an OEM supplier. Also as Klipsch takes a bigger percentage of our sales, these are very, very high end products and unlike some of the more traditional consumer electronic products, they are not returned by the consumer like a normal consumer electronic product would be; therefore, we are experiencing improvement in our warranty costs. As far as vendor rebates and things like that, vendor rebates are many times tied to volume incentive rebates. If they do not achieve the volume levels that we’ve agreed with them on the beginning of the year, we will release those rebates back into income. This is normal in our fourth quarter as we accrue as if the account will achieve their warranty--I mean, their volume goals, and if they don’t, we would look at it, analyze it and then determine the position. So that would be normal, but it can change based on the kind of year the retailers are having.
Brian Cowen: Those are all good explanations. I mean, considering that you did call it out, is there any way you could potentially say, like, it helped by 100 basis points? I mean, I’m just trying to get kind of an apples-to-apples and then figure out kind of how to model--you know, did you guys decide from an accounting standpoint to change the percentage on warranty this quarter so that--you know, I’m just trying to figure out an apples-to-apples and whether or not there was something in this quarter that helped margins by 100 basis points relative to just you guys deciding to make some slight changes.
Patrick Lavelle: No, there wasn’t any one-time change that improved things by 100 basis points.
Brian Cowen: Okay, great. Thank you very much. Appreciate it.
Operator: Thank you. We have a follow-up from Sean McGowan from Needham. Your line is open.
Sean McGowan: Thank you. Pat, do you think that the timing of the release of the 360 camera, will that be able to capture the bulk of what you would think would be outdoor sales this year? There’s got to be some seasonality to action cameras, right, so will that be out in time to capture what you think you’d like to capture?
Patrick Lavelle: We believe so. We’re slated for a spring launch, and many of our customers do set new product in spring, so those are the dates that we’re looking to launch on which will catch dads and grads, summer season and back to school, Christmas promo and all that stuff - so, yes.
Sean McGowan: Okay. A couple of others. It sounds like if I do some calculation here that your sales guidance for the fourth quarter is down. Obviously the full year is down, but it’s more than just what we’ve seen through the nine months, so given the better than expected sell-through of some products, why would your sales guidance for the fourth quarter be less than it would might have been implied 30 to 90 days ago?
Patrick Lavelle: Well, when we get into the latter part of the fourth quarter, we did have some product shortages that will affect sales in the fourth quarter because we moved out a little bit more than we anticipated, and therefore the fourth quarter might be a little short on some categories. But there are some bigger impacts - we have a program from one of our outdoor speakers that is falling out of the fourth quarter and into the first quarter, and as I indicated, we have a year-end close by one of our larger customers watching their inventory very closely and has held up on some shipments that we had slated for the fourth quarter.
Sean McGowan: When you were commenting on that earlier, I think you said it wouldn’t affect you. Did you mean that their inventory excesses are in other categories other than yours, but it’s affecting you because they’re--
Patrick Lavelle: The inventory is in ours, but generally at this time of the year they look very hard at overhead and inventories and things like that and try to improve their position, and that has--that is affecting some sales. These are--you know, this particular one is in some of our very mature product categories, so we’re not concerned from that standpoint because it’s one of our biggest market share categories and it’s just moving sales from one quarter to the next.
Sean McGowan: All right, okay. Last question, maybe for Mike - if the euro-dollar relationship stays where it is today, which is anybody’s guess, can you quantify what the sales and maybe profit impact might be for the full year--for the fourth quarter, rather? And obviously there’s going to be more effect than what we saw in the third, right?
Patrick Lavelle: The euro effect so far this year is a little over $4 million, okay? Within our automotive space, it’s a little over $3 million, so the biggest component will fall on our automotive sector.
Michael Stoehr: And that will impact some of the fourth quarter sales.
Patrick Lavelle: Fourth quarter sales, we’re anticipating the euro alone should be somewhere around $2 million.
Michael Stoehr: So when you compare this year versus last year, that’s part of the decline in the fourth quarter.
Sean McGowan: Okay. Could you repeat that Pat - you said you’re anticipating that the euro effect would be $2 million?
Patrick Lavelle: Yeah - the euro effect for the fourth quarter if things stay where they are looks to be like $2 million.
Sean McGowan: And that’s across all the segments?
Patrick Lavelle: Yeah.
Sean McGowan: Okay, thank you very much.
Operator: Thank you. It looks like we have a follow-up from James Medvedeff of Cowen & Company. Your line is open.
James Medvedeff: Thanks. Thanks for taking the follow-up call. So with different things that slipped from Q4 into Q1 and the inventory program at the customer and the under-stocking, or the cautious approach that you took to the buying patterns, it kind of makes it a little difficult to think about how Q1 of ’16 might look. I know you’re not guiding to that right now, but then that would impact--how should I think about your comments about organic growth resuming next year in light of the fact that there should be a reasonable pick-up of some slippage in Q1?
Patrick Lavelle: Yeah well, I think a lot of some of these issues that I just talked about can be offset by a number of new launches that we have planned, inventory coming in on products that we introduced where we had very, very strong demand where we will get some replacement inventory certainly within the first quarter, and then we also have the launches scheduled for some of the--like, 360 launches scheduled for the late first quarter and then some of the new products that we’ve introduced at the show are new Dolby Atmos 5.1 Surround was received very, very well at the show, and we are anticipating a spring launch. So there’s a number of other things that will offset some of the issues that are facing our fourth quarter that we anticipate will more than offset and help us start to turn this trend around. I’m certainly disappointed with the fact that our top line revenue did not achieve what we are planning, but we have so many different projects in the queue that any one could have some serious growth impact on us as we look at 2016 fiscal.
James Medvedeff: Okay. I guess what I was asking more specifically, should we think about organic--in addition to the organic growth from new products and so forth, how might the revenue that slipped from Q4 into Q1, how might that impact the growth rate next year?
Patrick Lavelle: I don’t think what’s slipping from Q4 into Q1 is really the--is going to be the big thing that impacts us. I think the planned launches that we have--you know, when I look at year-over-year, the planned launches that we have could give us some substantial new sales that will get us back on a growth curve. We have other projects that we are waiting to hear, other RFQ’s that if we hear within the first or second quarter of next year, we will be able to catch sales in 2016 that will add to that. Some of these programs, as I’ve indicated in the past, are significant, so to me what slips from the fourth quarter into the first quarter is not the issue that’s going to give us any growth. It is the delivery and the launches of many of the projects that we’ve started here at the show, some of the RFQ’s that we have been working on now for a number of years that could come to fruition, those are the things that are really going to drive growth.
James Medvedeff: Okay, thanks. Then my final question is on the asset tracking product. What is the status of that in terms of the development, and any sort of customer feedback or sales outlook?
Patrick Lavelle: You know, the asset tracking program is one of the programs that I was just referring to. We’ve got a number of RFQ’s, we’re working on a number of potentially strong deals, and it’s a little too early to tell but we may see some programs hit next year that can drive good growth. Based on the Rotterdam show that we were at, we received some very, very good response to the new products. The solar-based product with the 15-year life cycle, we received very good response on that. We are receiving a number of RFQ’s to quote, so that program is moving along well. Like I said, if just one of the contracts we’re working on hits, it will be significant dollars for us.
James Medvedeff: Thank you.
Patrick Lavelle: You’re welcome.
Operator: Thank you. Again ladies and gentlemen, to ask a question, please hit star and then one. Again ladies and gentlemen, to ask a question, please hit star then one. Our next question comes from Bob Evans of Pennington Capital. Your line is open.
Bob Evans: Good morning. Can you elaborate - what gives you the confidence on the 360 product that it will be launched this spring? It’s been continually delayed, and I just want to get a sense of where things are at.
Patrick Lavelle: Right now, we could tell based on the development of the software where we are with that, that we are--we’re pretty confident that most of those issues have been worked out. We’ve got manufacturing scheduled and everything, so we’re pretty confident that we’re going to see a spring launch of that product. We’ve got a number of retailers, larger retailers that are anticipating that launch, so I fully expect that we will see something in the spring.
Bob Evans: Okay. This was asked by the previous analyst a little bit, but different way of asking - can you comment on organic growth and what’s a reasonable expectation the last couple of years now with the lowered guidance? We’re down single digits in terms of revenue growth, and the Street’s got you up, I think, on the revised numbers up 10% for the next fiscal year, which seems aggressive, you know, the EBITDA decline as well. Can you comment, what is a reasonable expectation on organic growth, and are you confident that you can grow, because we were having that thought a year ago and it was lower than expected.
Patrick Lavelle: Yeah. So I’m not going to--you know, we’re in the budget process now as we look at next fiscal year, so I’m going to hold until we speak again on what our anticipated growth is. But like I said, the confidence level that you see, if you were at the show and you saw the response to the programs that we have that are about to launch, we know that in some of the categories that we’re about to launch that virtually every one of our retailers that carries, let’s say, a competing product has indicated to us that they will pick up our product when it launches. These are the things that we know that we’re going to have to bring in inventory for so that we can satisfy those demands, so that’s what’s giving us our confidence as we move into the year. With some of the projects that we have, okay, this year could be a breakout year, next year could be a breakout year if some of these larger contracts come to fruition. We believe that we are in good position to deliver. We believe that we’re in good position to win, but obviously until you win and secure the contract, it’s in anticipation, and that’s where we are. As we look at next year, as we look at our launch dates, as we look at our inventory purchases or our manufacturing schedules, we’ll be able to tighten down on what we see the growth rate will be next year. Now, that also gets offset by things that happen that are unforeseen. We didn’t anticipate that the euro would take as much of an impact as it has, and that will affect some of our conversion of top line revenue and gross profit. But we’re in that process right now, it’s a little too early for me to comment on what we see as growth for the next year, but we are confident coming out of the show.
Bob Evans: Okay, thank you.
Patrick Lavelle: You’re welcome
Operator: Thank you. Our next question comes from Gary North of GS North Company. Your line is open.
Gary North: Yes. The new product launches that are lined up seem very, very favorable, and I was just wondering if you have any plans on launching a fixed--a security version of the 360-degree camera.
Patrick Lavelle: Yeah, we don’t have anything right now because we’re laser-focused on getting the action camera out, but the technology is very, very broad. There are many, many applications for the technology, and we will be exploring all of that. Yes, we are getting questions for different applications based on the technology. We will explore all of that, yes.
Gary North: Okay, great. Thank you.
Patrick Lavelle: You’re welcome.
Operator: Thank you, and I’m not showing any further questions in queue. I’d like to turn the call back over to Pat Lavelle for any further remarks.
[end of Q&A]:
Patrick Lavelle: Thank you. Thank you everyone for your interest in the company. Like I said, coming out of the show, we’ve had some very good response to the new products that we’ve had. We’ve also won a number of awards. Our Dolby Atmos system home theater, we expect to deliver in the spring. We believe that will start to reverse the trend on 5.1 surround. We did win a best tech award from Tech Trend magazine for our new Weiser [ph] wireless 5.1 surround. [Indiscernible] Magazine gave us first place for our 808 headphones and our Hatteras outdoor speakers in their Choice Picks, and Time Magazine came out and gave us a 15th place finish as one of the most eye-catching exhibits here at the show, and that’s not bad considering that there are 3,000 exhibitors here. We are charged and excited going into fiscal 2016, and based on the success at the show, the interest in our products, and new business secured during the show, we feel pretty good. So thank you for your support and interest in the company, and have a good weekend.
Operator: Ladies and gentlemen, thank you for participating in today’s conference. You may all disconnect. Everyone have a great day.